Operator: Good morning, everyone, and welcome to The Hershey Company's First Quarter 2016 Results Conference Call. My name is Lindy, and I'll be your conference operator for today. All participants have been placed in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. This call is scheduled to end at about 9:30 a.m., so please limit yourself to one question so we can get as many of you as possible. Please note this call may be recorded. Thank you. Mr. Mark Pogharian, you may begin your conference.
Mark K. Pogharian - Vice President-Investor Relations: Thank you, Lindy. Good morning, ladies and gentlemen. Welcome to The Hershey Company's first quarter 2016 conference call. J.P. Bilbrey, Chairman, President and CEO; and Patricia Little, Senior Vice President and CFO, will provide you with a review of results, which will then be followed by a Q&A session. Let me remind everyone listening that today's conference call may contain statements which are forward-looking. These statements are based on current expectations, which are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements because of factors such as those listed in this morning's press release and in our 10-K for 2015 filed with the SEC. If you have not seen the press release, a copy is posted on our corporate website in the Investor Relations section. Included in the press release is a consolidated balance sheet and a summary of consolidated statements of income prepared in accordance within GAAP. Within the Note section of the press release, we have provided adjusted or pro forma reconciliations of select income statement line items quantitatively reconciled to GAAP. The company uses these non-GAAP measures as key metrics for evaluating performance internally. These non-GAAP measures are not intended to replace the presentation of financial results in accordance with GAAP. Rather, the company believes the presentation of earnings, excluding certain items, provides additional information to investors to facilitate the comparison of past and present operations. As a result, we will discuss first quarter results excluding net pre-tax charges of $27.8 million, or $0.04 per share-diluted, which are primarily related to derivative mark-to-market losses and business realignment charges. Both of these are defined in the Appendix of this morning's earnings release, which is available on our website at www.hersheycompany.com. Our discussion of any future projections will also exclude the impact of these net charges. And with that out of the way, let me turn the call over to J.P. Bilbrey.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Thanks, Mark. In North America, adjusting for the shorter Easter, we were pleased with our seasonal performance. However, non-seasonal candy, mint and gum, or CMG, business was below expectation. The non-seasonal softness was more than offset by the timing of some merchandising and programming net sales that occurred in the first quarter that were initially expected to ship in the second quarter, netting to on-plan net sales delivery in North America. Most of you are aware of the soft retail takeaway performance across most of the CPG sector in the first quarter, especially in February. Easter timing in the current and year-ago period makes it difficult to properly discern the current non-seasonal or everyday candy trends. As a result, our full year net sales forecast reflects a tempering of non-seasonal everyday candy net sales growth. As I'll discuss in a bit, North America CMG investments, including new products, advertising and increased levels of merchandising and display, accelerates in the second quarter and over the remainder of the year. Given the quality and level of these investments, there could be upside to our outlook. In the first quarter, we're pleased with the gains we're making in Mexico and Brazil. As expected, China net sales declined in the first quarter, and more about this in a minute. In January, I told you that we continue to look at our total cost structure. Building on that, today, we announced that we increased our annual savings target from continuous improvement and productivity programs from about $50 million to $70 million per year to about $100 million per year for the three years beginning in 2017. Using the midpoint of the historical target, the incremental $120 million in savings results in a three-year $300 million initiative that should enable the company to continue to invest in its brands, while also delivering its earnings objectives. We are off to a good start and expect that we'll exceed our initial 2016 productivity and savings target by $10 million to $15 million. Program savings will be generated from cost optimization across all segments of the business. Our focus on the cost structure enabled us to exceed our first quarter earnings expectations and deliver EPS growth versus the year-ago period. This morning, we also announced that we're building on our better-for-you snacks portfolio expansion strategy with the purchase of the barkTHINS snacking chocolate line. Since its launch in 2013, barkTHINS has quickly become a favorite snack brand, due to its commitment to using simple ingredients, fair trade cocoa and non-GMO certification; barkTHINS is a very attractive and uniquely crafted brand that essentially created the chocolate thins category, a new form of chocolate stacking. We look forward to building barkTHINS by leveraging Hershey's scale at retail. This acquisition builds on our snack strategy and complements our strong core confectionery portfolio, the heart of our company. And it adds strength and diversification to our offerings that allows Hershey to satisfy more consumer needs. In the current environment, customers and consumers may seem increasingly focused on other snack categories, but the $25 billion CMG category is the largest segment of the $85 billion U.S. snacks market. Customers and consumers, especially high-income consumers, are increasingly looking for snacking alternatives; however, confection remains one of the top-selling snacking categories, with household penetration of 94%. So, as you would expect, the majority of our time, efforts and investments are focused on the CMG category. For example, we've done some extensive R&D and consumer market research over the last year that will result in a meaningful new product launch by year-end. And the barkTHINS acquisition will give us a chocolate stacking platform, or, as we like to call it, snackfection, to build upon. We're focused on organic innovation and growth, as well as acquisitions that meet the needs of the candy loyalist; CMG's variety-seeking consumers who like to try new things and consumers looking for better-for-you reassurance. Looking at U.S. marketplace performance, Nielsen retail takeaway for the 12 weeks ended March 26, 2016, benefits from an early Easter. Recall, Easter was March 27 in 2016 and April 5 in 2015. As a result, CMG category growth was 8.7% for the 12 weeks ended March 26, 2016, within the xAOC+C channels. Hershey's first quarter CMG retail takeaway in the x-AOC+C universe increased 8.2%. Market share performance was in line with our expectations. Importantly, chocolate market share increased 0.1 point in Q1; however, this was offset by non-chocolate candy performance. As a reminder, the April Nielsen data will be impacted by the timing of Easter in the year-ago period; therefore, CMG and Hershey performance for the April year-to-date period will be less than Q1. Let me now build on my earlier comments and give you some details on our brand and in-store activity over the remainder of the year. Though we have already made investments, results have been solid. Specifically, Reese's market share is up 0.4 point in 2016, driven by new and refreshed television and digital marketing campaigns. Other brands that we're investing in include Kit Kat, where we launched a new Big Kat Kit Kat candy bar that is now available. And look for some interesting millennial-targeted creative TV and digital campaigns using a Big Kat, literally, storming the streets of New York. The Reese's Snack Mix and Hershey's Snack Bites instant consumable items are off to a fast start with industry-leading innovation velocities. They're highly incremental to our base business and we're following it up with take-home canisters. And we're also excited about some of the big in-store programming events, such as our classic S'mores promotion, our new Team USA Summer Olympics sponsorship and Hershey's cross-category in-store events, which leverages our new mega brand strategy. In the second half of the year, we'll also begin to communicate our simple ingredients message that will focus on Hershey bars and Kisses milk chocolate. And we also continue to gain share in gum with our category-leading Ice Breakers brand. We've added additional capacity to meet demand and will be supporting it with a new advertising campaign in Q2. This is just a brief summary of some of the strong activity we have in North America that will grow the business in the rest of the year. Now, for an update on our International business, net sales were in line with our plan. Excluding China, where we knew sales would be down year-over-year as we lap the slowdown that occurred after the 2015 Chinese New Year sell-in and the discontinued India oil business, constant currency net sales increased about 3.6%. I was pleased with Mexico and Brazil, where constant currency first quarter net sales increased 4.2% and 9.6%, respectively. And in both markets, chocolate category growth was in the high single digits. In Mexico, we're optimizing mix to focus on global chocolate brands and building on our Sigma relationship to accelerate coverage and share in the traditional trade. In Brazil, we're continuing to focus on the Hershey mega brand milk chocolate tablet bars, cookies and cream and the Mais wafer product. Constant currency net sales in India declined versus the year-ago period, due to the discontinuance of the edible oil business. The media invested brands, Jolly Rancher, Sofit (11:19) and Hershey's Syrup, where we are focusing our efforts and investments, both all increased double digits. As we enter the second quarter, a new chapter for Hershey's business in China begins, as we've merged the two teams into one united organization. Our initial plans impact some of our people in functions where there is some overlap. Savings here are not material at this point, but we're working towards balancing our business model in China versus our opportunities. Importantly, in 2016, Golden Monkey got off to a good start, with net sales below last year but in line with our plans and expectations. Most of these sales were made to quality distributors who paid cash on delivery. We're executing against our plans to bring variety, news and excitement to the Golden and Munching Monkey candy and snacks business. Confectionery innovation is focused on milk candies targeting young families, the better-for-me segment, and Chinese classics, while protein-based snacks is concentrated on additional bean curd flavors and the introduction of a vegan and soy sausage. China chocolate category sales in Q1 declined about 10%, the low end of our forecasted range. Given the slow start to the year, we adjusted our outlook for the year, but still expect double-digit net sales growth in 2016 as we lap the trade funds that were necessary in the second and third quarters of 2015. Additionally, over the remainder of the year, we'll be focused on establishing our new Houten over brand message (13:05) to reengage Hershey's and Kisses consumers. This is tied into a fully-integrated campaign including TV advertising, digital communications, and in-store merchandising that will bring the brands to life. While small, our e-commerce business in China continues to do well. In the first quarter, our e-commerce retail takeaway increased by 45%, driven by Chinese New Year gifting sales. We continue to outpace the category, and have a plus 10% share of the e-commerce chocolate market. Over the long term, we expect global economies and category trends to improve, and that the investments in our International business to contribute about one point to our overall long-term sales target. Now to wrap up. From time-to-time, there are different confluences in the marketplace that can impact snacks and CMG growth. Hershey has always navigated and invested in its core CMG business throughout these cycles, and has always ended up in a more solid position. We are a consumer-centric, brand-building company focused on innovation and growth in every category where we participate, especially confectionery, and we want to satisfy the needs of our retail customers and new and existing consumers. We take a long-term focus, and continue to believe that investing in our business will benefit the company this year and well into the future. I'll now turn it over to Patricia, who will provide you with details on our financial results.
Patricia A. Little - Chief Financial Officer & Senior Vice President: Thank you, J.P. Good morning to everyone on the phone and on the webcast. First quarter net sales of $1.83 billion declined 5.6% versus last year, relatively in line with our forecast, although partially due to the timing that J.P. referred to. Adjusted earnings per share-diluted came in at $1.10, an increase of about 1% versus last year, due to greater-than-expected productivity and cost savings versus our January estimate. Excluding the negative impact from foreign currency exchange rates of 1.2 points, net sales declined 4.4% and was relatively in line with our forecast. Price realization on seasonal CMG products was more than offset by increased levels of direct trade, resulting in a net price realization headwind of 50 basis points. Volume was off 4.3 points due to a shorter Easter season and planned lower sales in China. Net acquisitions and divestitures were a 40 basis point benefit. By segment, first quarter North America net sales declined 4.3% versus last year, due primarily to the shorter Easter season. Excluding the 40 basis point impact of unfavorable foreign exchange rates in Canada, North America net sales decreased 3.9% versus the year-ago period. Volume was off 3.7 points and the list price increase on seasonal CMG products was more than offset by increased levels of direct trade, resulting in a net price realization headwind of 70 basis points. As we mentioned in January, the direct trade was primarily related to programs in the marketplace; however, the aforementioned softness of everyday non-promoted items resulted in greater-than-expected unfavorable price mix. The combined Allan Candy and Krave acquisitions, as well as the Mauna Loa divestiture, were a 50 basis point benefit. Total International and Other segment net sales for the first quarter declined 15.4% versus last year. Foreign currency exchange rates were unfavorable by 7.3 points. The International and Other segment volume was off 8.4 points, due primarily to the net sales decline in China, as sell-in related to Chinese New Year season was lower than last year. International net price realization was a one point benefit, and the impact of the Mauna Loa divestiture a 70 basis point headwind. Turning now to margins, adjusted gross margin increased 20 basis points in the first quarter, driven by greater-than-expected supply chain productivity and cost savings initiatives, partially offset by unfavorable sales mix and other supply chain costs. On a net basis, commodity and packaging costs were slightly favorable. For the full year, we expect gross margin to be slightly down, as greater productivity and cost savings, and a slightly better dairy environment, at least for the time being, is more than offset by inflation and unfavorable sales mix, given the update to our non-seasonal and instant consumable candy outlook in North America. Operating profit in the first quarter was in line with the year-ago period, resulting in operating profit margin of 21.5%, an increase of 120 basis points versus last year. The increase was driven by gross margin gains and lower SM&A; selling, marketing and administrative expenses. Total advertising and related consumer marketing expense declined about 10% versus the first quarter of 2015, due to timing. North America advertising and related consumer marketing expense is expected to increase over the remainder of 2016. SM&A, excluding advertising and related consumer marketing, declined 9.3%, driven by the implementation of the business productivity program announced last June and the company's continued focus on efficiency and cost savings initiatives. Now, let me provide a brief update on our International and Other segment. I'm pleased that our total International business delivered on their Q1 plans. As J.P. stated, we're executing against our plans in the key markets of China, Mexico, Brazil and India, and making good progress. Adding to J.P.'s commentary on China, chocolate category contraction was greater than our estimate. Our updated forecast for the year reflects a return to growth, albeit at a lower level. If the broader economy doesn't improve, there could be further risk to our full year china chocolate and Golden Monkey sales forecast. Distributor demand and net sales of Golden Monkey items have been consistent for the last two quarters, driven by programs and products that are leveraging promotions associated with the lunar calendar Year of the Monkey. Given the increased level of in-store programming and innovation, we expect similar results over the next couple of quarters. Combined with the higher level of trade promotion that we'll be lapping, we're targeting Golden Monkey net sales to increase around 20% this year. Moving down the corporate P&L, first quarter interest expense of $21 million increased $1.8 million versus last year. For the full year, we expect interest expense to be in the $90 million to $95 million range, greater than our previous estimate of $85 million to $90 million, due to the use of commercial paper related to the barkTHINS acquisition. The adjusted tax rate for the first quarter was 35% and in line with last year. In 2016, we expect to purchase about the same amount of tax credits as we did last year, which should result in an adjusted tax rate that's similar to 2015. In the second quarter, we expect the adjusted tax rate to be about 30%, due to the timing and purchase of tax credits. For the first quarter of 2016, weighted average shares outstanding on a diluted basis were approximately 217.5 million shares, down 5.2 million versus last year, resulting in adjusted earnings per share-diluted of $1.10, or an increase of about 1% versus a year ago. Turning now to the balance sheet and cash flow, at the end of the first quarter, net trading capital decreased versus last year's first quarter by $25 million. Accounts receivable was lower by $63 million and remains extremely current. Inventory was higher by $25 million and accounts payable declined by $13 million. Total capital additions, including software, were $41.4 million in the first quarter. For the full year, we expect CapEx to be in the $285 million to $295 million range. During the first quarter, depreciation and amortization was $60 million and dividends paid were $122 million. In the first quarter, the company repurchased $304 million of outstanding shares. $20 million were repurchased against the $250 million authorization approved in February 2015, and $284 million were repurchased against the $500 million authorization approved in January 2016. Cash on hand at the end of the quarter was $286 million, slightly lower than a year ago. As J.P. mentioned earlier, today, we announced the acquisition of the barkTHINS snacking chocolate line. We expect that the acquisition will be dilutive in 2016 and 2017, primarily due to the book amortization of intangibles before turning accretive in 2018. The all-cash purchase price and the near-term earnings dilution is partially offset by about $50 million to $60 million in cash flow net tax benefits associated with the tax amortizations of intangible assets in the basis step-up. The tax amortization provides a future cash flow benefit. As a result, netting the benefit against the growth acquisition purchase price results in a deal multiple that is similar to other high-growth CPG assets. As J.P. summarized, over the remainder of the year, we have a lot of innovation, variety and news going into the marketplace. In-store merchandising and program activity is greater than last year. And advertising and related consumer marketing is expected to increase mid to high single digits on a percentage basis versus last year over the next three quarters. Therefore, for the full year, excluding unfavorable foreign currency exchange of approximately one point, and the barkTHINS acquisition of about 0.5 point, net sales growth is expected to accelerate and increase to around 2%. This is less than the previous estimate of about 3%, due to the previously-mentioned lower than expected U.S. non-seasonal CMG growth and macroeconomic headwinds in China. The company expects gross margin to be slightly lower than last year, due to unfavorable mix related to lower non-seasonal sales. The business productivity initiative announced in June and the incremental CIP savings are on track and should result in a reduction in SM&A expenses as we continue to leverage existing resources. As a result, the company expects adjusted earnings per share-diluted to increase 3% to 4%, including dilution from acquisitions of $0.05 to $0.06 per share and be in the $4.24 to $4.28 range. Before we open it up to Q&A, just a couple of thoughts on the second quarter; we expect constant currency net sales growth in Q2 to be greater than our full-year outlook; however, the impact of unfavorable sates mix is greatest in the second quarter and may result in gross margin decline of 50 to 100 basis points. Additionally, advertising and related consumer marketing is expected to increase the most on a percentage basis versus last year in the second quarter. This is one of the levers in our marketing mix model that we believe will result in improved pull (25:27) or retail takeaway in the second half of the year. Therefore, we expect that EPS will be pressured in the second quarter. Thank you for your time this morning, and we'll now take any questions you may have.
Operator: Our first question comes from Andrew Lazar with Barclays. Please go ahead. Your line is open.
Andrew Lazar - Barclays Capital, Inc.: Good morning, everybody.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Good morning, Andrew.
Andrew Lazar - Barclays Capital, Inc.: Good morning, everybody. Thank you. Yeah, just one question from me, I think based on the full-year guidance change on sales that you've talked about, most of which seems to be in North America, I guess based on just some admittedly back-of-the-envelope math, I guess, it seems like North America would need to show, call it, 3% to 3.5% constant currency sales growth from here on out versus the minus sort of 4% plus in the first quarter. So I guess the question is just sort of how do we get from here to there, particularly if, I guess, as the press release seems to suggest – I could have it wrong – that North America takeaway is expected to be sort of flattish moving forward? Thanks.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Yes. So I think, Andrew, you're in the right ballpark on the April to December take to make. If you look at North America, it'd be probably a little over 3% to get there. So I think you've got that right. If you look at our plans in North America, they really do accelerate in the second half of the year, so a number of the investments that we've made really against a combination of innovation and advertising should begin to show up there, lots of solid in-store merchandising. So I think that's why we're optimistic on the second half of the year.
Andrew Lazar - Barclays Capital, Inc.: Thank you very much.
Operator: Your next question comes from Jonathan Feeney with Athlos Research. Please go ahead.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Good morning, Jon.
Jonathan P. Feeney - Athlos Research: Good morning, guys. Thanks very much. I'm trying to understand how the advertising and consumer marketing expense changes this quarter effect of the quarter maybe the rest of the year. Am I right just going through some disclosures for last year, that for the full year, I see you disclosed advertising and then it gives us some rates of change that that advertising and consumer marketing together is about 13.5% of sales? Does that sound about right?
Mark K. Pogharian - Vice President-Investor Relations: Yeah, Jon. I think you only see advertising in the 10-K, so there's other consumer marketing-related stuff that we include in the disclosures in the release this morning related to consumer promotion and some other in-store activities. So, I don't have that number off the top of my head, but I'll try and help you out later on.
Jonathan P. Feeney - Athlos Research: Okay. I guess then just one clarification. Is all of that advertising and consumer marketing expense – and you're talking about year-over-year change – all of that actually expense or is some of those like net revenue items, like some of the in-store promotion costs, that would be recognized as offsets to revenue?
Patricia A. Little - Chief Financial Officer & Senior Vice President: No. This is Patricia. That would be in the trade as a reduction between gross and net sales. The comments that we were making this morning are the pieces that are in the SM&A line.
Jonathan P. Feeney - Athlos Research: Okay. So separately, when you made the comment that a little bit more trade spending, it looked like because of some change from quarter-to-quarter, some products that were initially expected to ship in the second quarter in the first, that wouldn't be reflected in that decline because that would be trade spending?
Patricia A. Little - Chief Financial Officer & Senior Vice President: That's right.
John P. Bilbrey - Chairman, President & Chief Executive Officer: That would be correct.
Jonathan P. Feeney - Athlos Research: Great. Okay, that helps me out a lot. Thanks very much.
Operator: Your next question comes from Eric Katzman with Deutsche Bank. Please go ahead.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Good morning, Eric.
Eric Richard Katzman - Deutsche Bank Securities, Inc.: Hey, good morning. I have actually two kind of specific, I guess, accounting questions. Maybe it's for you, Patricia, but I'm a little bit surprised that, unless there's some kind of patent or large foodservice component, why would the non-cash amortization expense be so high on this acquisition? And then the second, the change in the accounting, I guess, from comprehensive other income to what you're now doing, which is the exclusion of the volatility on the mark-to-market, so the $0.10 loss that you've excluded, was there a similar type of loss a year ago or how do we kind of treat that relative to how you've been billing it in the past?
Patricia A. Little - Chief Financial Officer & Senior Vice President: Yeah, happy to answer that. Let me start with that one. So up until last year, we used and met all the requirements to use GAAP hedge accounting. That allowed us to put the volatility related to mark-to-market into our other comprehensive income, or essentially on the balance sheet. It didn't flow through the P&L. We proactively decided to go off of hedge accounting. You may or may not know this, but it's a very onerous FASB requirement to make. A lot of our peers have done this. And when we looked at the cost benefit of doing this, we just didn't feel that it was worth it, especially since the standard kept getting tougher and tougher to meet. So what we decided to do – and we talked about this, I think, in the third and the fourth quarter – is we would stay off of hedge accounting and allow that volatility to flow through the P&L, but we also want to call that out for you so that you can see that because it's volatility that's not consistent with the earnings that we use internally as well as prior periods. So that's why we adjusted it out in our adjusted earnings. So when you look at the impact in the first quarter, there was no comparable piece of it to be adjusted out last time. However, on an adjusted basis, the two numbers are comparable. We got there by different means. Going forward, as we lap all those quarters, you'll continue to see it coming out of the adjustment in both periods.
Eric Richard Katzman - Deutsche Bank Securities, Inc.: So you're going to exclude it from quarter-to-quarter and then in the fourth quarter, just have one big number, I guess, that adjusts for the year or something like that?
Patricia A. Little - Chief Financial Officer & Senior Vice President: No, every quarter is different and they net out. You can have a quarter where it's positive. You can have a quarter where it's negative. What we want to do is match the ultimate mark-to-market that we have on the hedging contract with the period that we actually buy the underlying commodity. So, for example, if we buy cocoa forward and in one quarter it might be positive, in the next quarter it might be negative, by the time we buy the cocoa, that's when we want to recognize the net impact of that volatility, so that it ties to the time that we're actually buying the cocoa and we get the net overall hedged price for the cocoa. And that's the most common approach now in CPG in terms of the complexity related to commodity hedging.
Eric Richard Katzman - Deutsche Bank Securities, Inc.: Okay, and then, on the second piece, on the bark...
Patricia A. Little - Chief Financial Officer & Senior Vice President: Oh yeah, the barkTHINS, sorry. So yeah, we called out the fact that there are some very specific tax things related to the barkTHINS acquisition. If you net that out, you would find that we're paying really in the same kind of multiple for a high-growth CPG asset that we, as well as others, have paid in the past. Typically, that's a three to four times. And that, of course, since what you're buying in all of these companies essentially is a brand, creates the amortization of intangibles going forward, as well as other costs related to integration. But it's primarily the intangibles which get amortized over the period that the accounting requires them to, and that's what leads to the dilution.
Eric Richard Katzman - Deutsche Bank Securities, Inc.: Okay. All right. Thanks for taking the time. I'll pass it on. Thank you.
Operator: Your next question comes from Chris Growe with Stifel. Please go ahead.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Hi, good morning.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Good morning.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: I just had a question for you, if I could just talk about the new or incremental cost saving programs. The level of incremental savings coming through, is that meant to offset inflation? And I should say, are the overall savings meant to offset inflation, with the remainder then sort of reinvested back in the business? I'm trying to get a sense of how much of this can flow to the bottom line and how much of this should can sort of be available for you to reinvest? And maybe if I could ask, just related to that, you talked about, I think, $10 million to $15 million of incremental savings in 2016. Again, is that sort of earmarked for reinvestment? I'm just trying to understand how those incremental savings are going to be used this year.
Patricia A. Little - Chief Financial Officer & Senior Vice President: Yeah. It's Patricia again. So the way I think about it is this, we've always had about $50 million to $70 million of productivity that's come through, primarily in the supply chain arena. And those guys have done a terrific job of offsetting underlying COGS inflation, so we end up with flat or good margin expansion based on their efforts. What we've done, starting in June of last year, is we also had a productivity program that we announced, and have been executing on here more in our corporate functions. And we got some benefit of that last year, and we're going to get another $40 million of benefit from it this year. That's at the high end of the range, by the way, of what we announced. We've been over-delivering on that. And then, what we announced today is incremental savings, again in the SM&A category, of $10 million to $15 million. Now, as you know, most of our cost in SM&A, besides specific costs for advertising, are salary (35:39) cost-related. And we do have inflation, salary cost inflation and benefits inflation, that hit us every year. Think of that as it being about 3%. So what we'd like to do is be able to offset that, but, in general, we're focusing on taking that discipline and continuous improvement mindset that the supply chain guys have done so well, and really migrating that over to all of our corporate functions, to help them and help all of us, offset the inflation the same way that the supply chain guys have done. And, yeah, I would say that that absolutely gives us the fuel to have those marketing and other advertising expenses that we need to ignite the market and push that second half growth that we're looking towards this year. So it's absolutely a big help for us in achieving that.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay. And just to be clear then, Patricia, you mentioned $40 million this year from a productivity program, so is it $40 million and then $10 million to $15 million on top of that?
Patricia A. Little - Chief Financial Officer & Senior Vice President: That's right.
Mark K. Pogharian - Vice President-Investor Relations: Well, no. It's, actually – we get $50 million to $70 million...
Patricia A. Little - Chief Financial Officer & Senior Vice President: Yeah.
Mark K. Pogharian - Vice President-Investor Relations: Normal productivity, Chris.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Yeah.
Mark K. Pogharian - Vice President-Investor Relations: So it puts us at the high end of that $70 million. There's $10 million to $15 million on top of that, plus the $40 million, $35 million, or whatever it is, from last year's June initiative as well.
Patricia A. Little - Chief Financial Officer & Senior Vice President: So think of it...
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay.
Patricia A. Little - Chief Financial Officer & Senior Vice President: As totaling $120 million to $125 million, but also pointing out that the $70 million is at the high end of what we've typically gotten every year, whereas the other two are specific to this year, and less comparable to prior years' activities.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay. That's very helpful. Thank you for your time.
Operator: Your next question comes from Bryan Spillane with Bank of America. Please go ahead.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Good morning, Bryan.
Bryan D. Spillane - Bank of America Merrill Lynch: Hey, good morning, everyone. Just a question, follow-up on the cost savings initiative, or the expansion of it that you announced this morning; think in the press release, or maybe in the prepared remarks, you talked a little bit about how maybe some of that might be related to China, but I guess it just seems like, given how different the sale, the revenues are in that business now versus the original expectations, that maybe there might be a bigger opportunity on cost savings. So can you just talk about, I guess, how much of the expansion of the savings program is related to China? And I guess, is there a potential that there'd be something even above and beyond, as we kind of look out into the future?
John P. Bilbrey - Chairman, President & Chief Executive Officer: So let's – both Patricia and I'll take that. First of all, as we continue to look at our China business, you heard in my remarks that we want to balance our investments there with what we see as the opportunities. We know that the market right now is certainly challenged, but, at the same time, we're in the midst of working through our integration. We want to make sure that we make good decisions there for the long-term. And as we continue to get familiar with our overall go-to-market strategy and how we brought the two businesses together, we just want to be prudent, in terms of making sure we're making good decisions. At the same time, we do believe that there is opportunities, within our China business, to go further than we have at the current point in time. So I'll let Patricia, if she wants, to add any additional perspective.
Patricia A. Little - Chief Financial Officer & Senior Vice President: The one thing I'd add to that is really pointing out the progress that's been made in bringing the two organizations together. While there were clearly some disappointments in our acquisition of Golden Monkey, the fundamentals of why we bought it are still there. We really like the access (39:09) to the traditional trade. We really like the two brands that they bring to us as Golden and Munching Monkey. And we think that's a very good complement to our strength in the three brands that we have in the chocolate business in China and our focus there on the modern trade, a little bit over-indexed to hypermarket, which we can certainly see in our results. So the team there has done a nice job of bringing that together. While that's generated some cost savings and, frankly, we're still looking and I think we'll find some more, I think the really important thing is bringing the two businesses together to exploit the strengths that they each individually have. And that's what I would add to J.P.s remarks about balance. That's the part that we're balancing.
Bryan D. Spillane - Bank of America Merrill Lynch: Okay. Thank you.
Operator: Your next question comes from Robert Moskow with Credit Suisse. Please go ahead. Your line is open.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Good morning, Rob.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Good morning. Hey, J.P., the article in The Wall Street Journal today and also your comments in your acquisition point to a lot of strategic efforts to expand snacks, but the comments on the call are about slowing category growth in candy, mint and gum. And I'm just wondering. This seems like a pretty critical time for the category. You say that you need to re-accelerate the growth. Can you give us a little more color on this meaningful launch that you talked about in the back half of the year? What's the marketing objective of that launch? What's the risk that you're taking, the investment you're meaning to make, and are you worried that your core operations might take their eye off the ball a little bit if all of the efforts are on snacking? Thanks.
John P. Bilbrey - Chairman, President & Chief Executive Officer: So, first of all, thank you for the question. And I'll try to add as much perspective as I can. On some level, I'm not going to go into as much detail as you'd like, just for competitive reasons, but let me put it in perspective that snacks today, if you look at the pure snacking type stuff outside of confectionery, and outside of our grocery business, is really only 2% of our total business. If you put in those other pantry-type businesses, spreads, et cetera, it's about 9% of the business. So confectionery is at the core of who we are and what we do. What we've seen as we've continued to do some demand landscape work, is there's an interesting area around what we call snackfection. And if you look at some of our recent, like the Reese's Mix and Bites products, those have been terrific for us. They don't show up in our market share because they're actually captured in snacks, but we're very, very pleased with how we've progressed there. So I think that what you should take away is, is that we are very focused against our core, innovating around our core and executing against the fundamentals in a very competitive and changing snacking environment, but we really see an immediate opportunity in this area of snackfection for the company. And then, as you look at how consumers' relationship with food has changed, we recognize that the snacking continuum has grown. And so products like Krave, which we're learning a lot from and are very pleased, will always be part of our test and learn and grow strategies, but it doesn't take away from our core focus. And so around affordability, one of the things that you see is there's new users and consumer occasions that we see as a big opportunity. So confection has always been a part of snacking. I think there's been some confusion around when we talk about snacking, is if it's something different than confection. And the fact of the matter is confection has always been snacking with the biggest part of the snack wheel. And so as these new occasions arise and new opportunities arise for the company, we want to be able to take advantage of them, succeed with the brands we have and then also be able to expand in some of these new segments. And there's a significant blurring across this total snacking category that we think has added some of the lumpiness and challenges to the categories. You see so many new items and choices for the consumer. And I think as that all sorts out, the single most important thing for us is to continue to build on our brand relevance and the fact that consumers have relationships with our brands. And that's why we like to talk about being a consumer-centric and brand-building company. We don't think we've lost anything there, but we certainly would tell you that there's lots of opportunities and we have to be at our best to take advantage of them.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Can I ask a quick follow-up? Brookside Farms, the data hasn't looked very good. Can you tell us what's happening there?
John P. Bilbrey - Chairman, President & Chief Executive Officer: Well, I think there's a couple of things and I'll let Michele join in here as well, if she has anything to add, but as we look at the Brookside brand, we've been really pleased with the growth of the brand. It's done terrific in terms of establishing itself as the number two or three dark chocolate brand in the category. It's got great repeat purchase of somewhere in the range of like 50%, which is really, really high. It's ahead of our acquisition strategy. Now, we have lost some distribution in the club channel. We also believe that as we have expanded it, we need to continue to work on the brand positioning some. And you'll see that we've got a whole new advertising effort there. And then, we also probably would tell you that we have expanded some of the offerings maybe a little bit ahead of ourselves. And we need to make sure that we just continue to work on the base brand proposition. So as we do that, we continue to have a lot of confidence in the brand. I don't know if Michele wants to add anything, but those would be my comments.
Michele G. Buck - President-North America: I think you covered it pretty well.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Thank you.
Operator: Your next question comes from David Driscoll with Citigroup. Please go ahead.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Morning, David.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): Great. Thank you and good morning. I had a couple of follow-ups and then a question. So just to be clear to Chris Growe's question, will the incremental cost savings be reinvested back into the business in 2017 through 2019? So forget the 2016 numbers. You answered that well, but I'm not clear on the 2017 through 2019 period.
Patricia A. Little - Chief Financial Officer & Senior Vice President: Yeah. I guess I'd say it in this way. It's a part of our long-term EPS guidance, but at the base of that long-term EPS guidance is an investment philosophy about growth in our core and adjacent categories. That's the fundamental driver. So I would say, yes, it's absolutely part of our whole algorithm. It needs to be a balanced algorithm between sales growth and cost discipline.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): I mean, it's not a small number. I mean, at the high end, it's 3.5 points of EPS growth, so I appreciate that, but it's a large number. Second follow-up is on China, when I just do some rough math, I mean, it feels like that business is losing like $30 million in the quarter, something like that. I mean, I think all your other businesses are profitable, so it's quite a large loss. You mentioned, J.P., that you would align the cost to the opportunity, but really simply, are the savings that you would expect to happen in the China operations, are they embedded in this new cost savings program?
Patricia A. Little - Chief Financial Officer & Senior Vice President: I'll start with that and then maybe J.P. can give a little more color around China. Yes, it's part of the $10 million to $15 million incremental savings that we announced. And as I think we've also made clear, we're continuing to look at balancing the cost structure against the opportunities in the market and then that may result in further savings going forward, but that's a work in progress and not something we were going to talk about or announce today. With that, let me turn it over to J.P. to talk about how he sees the overall long-term opportunity in the market.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Yeah. I think, David, there's a couple of things that I would say. First of all, China, for us, is probably an invest market for a period of time. While that profile may change, I think that we'll, for some period of time, continue to be in a brand-building type mode. Let me just take a step back and maybe clear up a couple of things in terms of how I view what we're currently doing in China. So the first, most important, thing we needed to do following the recent acquisition was just gain control of the business. As we've all been quite open and talked about, there were some surprises there and things that we weren't very pleased with, but we feel very good about the efforts the team has made and that we've gained control of what we have there. Now, we're in the process of creating a solid foundation. It's around org structure. It's around the systems we need to run the business and a big piece of the integration, and so that creating the foundation is really where we're at. And then the third phase is, is that we have to execute against the business we have. Unfortunately, it's a volatile market with some uncertainty right now, so when I talk about being balanced, we have to make sure that we can afford the organization structure and our go-to-market strategies there. But, listen, we believe in a merging middle class. We believe in urbanization. We think these are markets that, over time, we want to be in. So from a quarter-to-quarter basis, it may be tough to make some of those strategic decisions. And then, if we execute well, results come. And we'll be able to then do the things that we do well and grow our brands in the market and grow with the category and overcome some of these, what I would believe are more short-term challenges. I think, importantly, that's how I think about it. And so that's the best way for, I think, you guys to think about it, as well.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): If I could sneak one last clarification in, you mentioned in both your script and in the press release, there's the potential for upside to the outlook. J.P., it's kind of unusual when a company is reducing guidance to then mention upside to the outlook. And so I feel like you're really trying to tell us something here, but it's not that clear to me. Are you saying that Q1 trends are just kind of not representative and you really need to get into the rest of the year to understand where the sales growth is and you've taken it down because of what Q1 has done, but it's almost like you don't believe it or something with this upside to the outlook comment? Can you help me out?
John P. Bilbrey - Chairman, President & Chief Executive Officer: Yeah, no, I think, David, what I would tell you is, is that as we look at the marketplace and what we see is happening in Q1, that we're being prudent in the comments that we're making. We're optimistic within our plan that we always want to grow share ahead of the market. And that's what we're going to be challenged with. And, again, if we also believe that we deliver against some of the other cost initiatives and things that we have, that we'll be able to meet the guidance that we've given you. So I don't want you to take that comment differently than what we've said with regard to our guidance, other than we have some optimism. And I'll let Michele talk a little bit about the second half and give you a sense of how she's thinking about it as well.
Michele G. Buck - President-North America: Sure. As we look at the year to go, we have a lot of activity. As you know, DMEs were not up versus prior year in Q1, so we've really lined up a lot of our investment with what's to come. We're rapidly expanding gum behind the capacity expansion investment we made last year. And the advertising, we have a new campaign that's just going on air now. Snack Mix and Snack Bites, we've actually been constrained and not actually even able to service enough. We've had to cut off all merchandising because of how well those items have done, so we're really going to be able to get behind that in a bigger way as the year goes on. Big Kat's just launching. We're a sponsor of the Olympics, which is going to be huge from a merchandising perspective. And, as we told you guys last year when we started to see some softness in share at the end of the year, we made a decision to invest to be more competitive. And just given the timeline it takes to get those dollars in the marketplace, that really kicks in beginning in May. We have the birthday execution that's really going to expand, so just a lot of activity coming in the back part of the year that we have a lot of confidence in, and we're cautiously optimistic about some of the potential anomalies we may have seen in Q1 in February, but we want to be prudent about the marketplace and balancing that with the aggressive programming we have rest of year.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): Thank you.
Operator: And your next question comes from Matthew Grainger with Morgan Stanley. Please go ahead.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Good morning.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Good morning. Hi. Good morning. Thanks for the question. Patricia, I just wanted to better understand the approach toward trade spending. Over the balance of the year as you talked about direct trade that was already in place, that seems to have been a headwind to pricing, but not necessarily a material source of support on the non-seasonal side. So given that, are you comfortable with the returns you're getting on incremental promotion? And how does this play into the outlook for trade spending, specifically on promoted price points, over the balance of the year – not on the new product offerings?
Patricia A. Little - Chief Financial Officer & Senior Vice President: Yeah, we're comfortable. Of course, we're always looking at that. Michele and her teams do a great job of balancing out the right ways to do trade promotion, merchandising, advertising. I mean, it needs to be a holistic marketing model, and I think she's doing a good job on that. And I'll let her talk a little bit more about how she's thinking about trade promotion.
Mark K. Pogharian - Vice President-Investor Relations: Yeah. One thing on the math, sorry.
Patricia A. Little - Chief Financial Officer & Senior Vice President: Oh, go ahead.
Mark K. Pogharian - Vice President-Investor Relations: Sorry, Patricia. It's Mark, Matt. One thing to think about, though, I think in the release and in the remarks, I think you could tease out, but hopefully you teased out that some of the programming that we thought was going ship in April shipped in March. So with that comes some typical promotion – not discounting, but typical promotion. And because that replaced what we thought at the time was going to be everyday or non-promoted prices, that's the negative impact you're seeing on the price mix. So it's not because there was a lot of trade because of deep discounting or anything, it was just that mix that ended up happening in the first quarter that had price being negative at the end of the day. Sorry, Michele.
Michele G. Buck - President-North America: No. No, that's okay. And as I think we mentioned on the prior question, the incremental investments we've made to really drive against merchandising begin middle of Q2 to hit the marketplace, and a lot of big events like Olympics, et cetera, that we're investing in, the ability to merchandise Snack Mix, as I mentioned. So I think we've covered that.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay. Thanks, everyone.
Operator: And your next question comes from Kenneth Zaslow with BMO Capital Markets. Please go ahead. Your line is open.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Hey, good morning, everyone.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Morning, Ken.
Patricia A. Little - Chief Financial Officer & Senior Vice President: Morning, Ken.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): I just had two follow-up questions. One is, what is the opportunity in barkTHINS in terms of, it's $65 million to $75 million? How big could it actually become, and what are you thinking about the possibility for that? And what are the avenues for growth for that? I'm just trying to figure out, is it just distribution? What is the actual outlook for that business?
Michele G. Buck - President-North America: Yeah. We think we have the opportunity. I mean, it's a very viable consumer proposition that's grounded in the very on-trend area of clean label and fully sustainable profile. It's a less sweet kind of taste profile. So yeah, we think we have the opportunity to take a great proposition and leverage our Hershey muscle and scale to expand distribution to make it more available, and also to increase brand awareness. I would liken it somewhat to Brookside, and what we did with Brookside when we purchased that. It allows us strategically to expand into mass premium, to have a product that is very well-liked by Millennials, and to capture that opportunity to just expand beyond that.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): And then, my next question just is, how do you decide on what you think is structural versus short-term issues? And what evidence do you have that says some of these issues are short-term? I'm just trying to figure out where you guys are coming from, in terms of – how your long-term growth strategy in terms of sales, but you keep on saying there's some headwinds and they're short-term. I'm just trying to figure out how you think about them as being short-term versus structural, and what evidence do you have?
John P. Bilbrey - Chairman, President & Chief Executive Officer: Well I think that, if you look across what's happening in the total space, I think these are more cyclical versus structural issues. We continue to have a lot of enthusiasm for all the advantages of the category that we're in. I think if you look at the history of, I'll call it, snacking as well as confectionery, it's always been changing. You've seen a number of different types of trends and things in the market. I think one of the events that makes this current period of time unique is the amount of choice that there is in the market relative to what I think we've historically seen. That means that trial has moved around a lot. At the same time, you have some different things impacting retailers. And we've come out of a period of time of some uncertainty in economies. And so I think all of those things have made it a more challenging environment, but I don't think those are structural things, where major changes have taken place. Now you've heard me talk about, consumers have a changing relationship with food. So much of that is really around transparency as much as it is anything else, where people are wanting to understand ingredients better than they ever have before. And as manufacturers, we're all responding to that. Certainly we are as well. But, as I take a step back and just look at the overall industry as well as the category that we compete in, I think many of the things that are happening are far more cyclical than I would think about them as structural.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Great. Thank you.
Operator: And your next question comes from Alexia Howard with Bernstein. Please go ahead. Your line is open.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Good morning, everyone.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Hey, good morning, Alexia.
Patricia A. Little - Chief Financial Officer & Senior Vice President: Good morning.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Hi. So are you able to estimate the underlying CMG category growth in North America if you flush out all the timing shifts and so on? Are you able to get at that number? And as a quick follow-up, can you comment on how you're planning to respond to the Vermont requirement for the mandatory labeling of foods containing genetically modified ingredients that's due to come in in July? Thank you very much.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Sure. So, I'll start with the latter and then go to the first part of your question. So, I'll speak specifically to Hershey. We have products that will need to meet the Vermont labeling requirements of, contains GMO ingredients. And then we have some products that don't need to be labeled. So appropriately, we will abide by what's happening in Vermont and label as appropriate. And then, I hope that, at the Federal level, there's clarity brought to this question, because it becomes an interstate commerce issue. If you have different states taking different approaches, it would make it very confusing for manufacturing, manufacturers. And so I do hope that there's some clarity around how labeling happens if it's a required on a broader basis. And then, as you know, we've committed to transparency. We're very big supporters of SmartLabel, which gives consumers the ability to engage with our brands and understand what are in the ingredients, et cetera. So that's how we'll deal with Vermont. And then on the category growth rate, I'll let Michele talk to that with regard to North America.
Michele G. Buck - President-North America: Yeah, so we're estimating that the category growth rate in North America would between 2% and 2.5%, which is about where we've seen it over the past couple years, a little bit on the lighter side if we go down to the 2% range. We anticipate that our takeaway will be greater than that, such that we will gain a little bit of share. And obviously, with the Easter timing issue that occurred on a year-to-date basis and some of the softness that we saw in Q1, we are still waiting to see how that plays out, but that's our long-term estimate is 2% to 2.5% and that's what we're thinking it'll be for the year.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Great. Thank you very much. I'll pass it on.
Mark K. Pogharian - Vice President-Investor Relations: Operator, we have time for one more call and then we'll call it a morning.
Operator: And your final question comes from John Baumgartner with Wells Fargo. Please go ahead. Your line is open.
John P. Bilbrey - Chairman, President & Chief Executive Officer: Good morning, John.
Mark K. Pogharian - Vice President-Investor Relations: Morning, John.
John Joseph Baumgartner - Wells Fargo Securities LLC: Good morning. Thanks for the question. J.P. or Michele, just sticking with the trade promotion bigger picture, if I look at your promotion as a percentage of sales, in 2015, it wasn't much higher than the levels you were spending seven or eight years ago, yet the broader category snacking environment's much more competitive. I mean, how would you assess your current levels of trade spend and maybe your thoughts on the notion that Hershey's is going to be under-investing a bit in promo, given the impulse nature of the category?
John P. Bilbrey - Chairman, President & Chief Executive Officer: Well, again, we can kind of tag team this, but I do think that we are seeing a more competitive environment than we have seen for a period of time. We know that in 2015, we probably lost a little bit on quality merch versus where we'd have liked to have been. And so as we look at the opportunities and landscape in 2016, we don't want to have that happen to us again. One of the comments I would just make is, is that there's less space as retailers have clean floors, so the competitiveness to get that space is not just within our category. It's really across multiple categories. And that's put a premium on the cost of, I'll call it, doing business in some classes of trade.
John Joseph Baumgartner - Wells Fargo Securities LLC: Great. Thanks, J.P. Thanks for the question
John P. Bilbrey - Chairman, President & Chief Executive Officer: Hey, thank you.
Mark K. Pogharian - Vice President-Investor Relations: Thank you very much for joining us this morning, and the IR team will be available for any follow-up calls that you may have.
Operator: Ladies and gentlemen, this does conclude today's program. You may disconnect at this time. Thank you, and have a great day.